Operator: Greetings and welcome to the RF Industries Fiscal 2014 Third Quarter Financial Results Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Mr. Robert Jacobs. Thank you. Sir, you may begin.
Robert Jacobs: Thank you, Melissa. Good morning and thanks for joining us for RF Industries’ third quarter conference call. After I review the Safe Harbor statements, I will turn the call over to Howard Hill, RFI's President and Chief Executive Officer. He will provide an overview of developments for the quarter. After that, Mark Turfler, RFI’s CFO will then review the financial results in some detail after which we will open up the call for your questions. Please note that except for the historical statements, statements in this release and in this conference call may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used the words anticipates, beliefs, expects, intends, future and other similar expressions, identify forward-looking statements. These forward-looking statements reflect management's current views with respect to future events and financial performance and are subject to risks and uncertainties and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales of new products and other risks and uncertainties that are discussed in the Company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. RF Industries undertakes no obligation to update or revise any forward-looking statements. I’d now like to turn the call over to Howard Hill. Howard?
Howard Hill: Thank you, Robert. Welcome to RFI’s fiscal year 2014 third quarter earning conference call. Our press release went out earlier this morning and some of the comments will deal with the issues discussed in that release. Third quarter 2014 sales of $5.5 million and net income of $372,000 or $0.04 per diluted share were in line with our expectations as we noted and discussed in our second quarter conference call. The third quarter 2014 sales declined when compared to previous - period third quarter due to lower sales at Cables Unlimited segment. Offsetting these declines were an increased third quarter sales of RF Connector and RF Cable Assembly segment. As we mentioned in our press release this morning the sales decline at Cables Unlimited segment has contributed to lower sales of OptiFlex custom wireless cable products. Antenna upgrades of 4G wireless technology has [slowed] [ph] relating to a $4 million sales drop at Cables Unlimited segment, compared to the third quarter last year. While we are actively pursuing applications and new customers for these fiber-optic custom cabling products, we anticipate the quarterly sales of the segment will continue at these levels the remainder 2014. However, we are not just waiting for these products lines to recover, but are actively developing new products and are optimistic about the opportunity to expand Cables Unlimited segment overall sales and market share. I’d like to mention that sales at RF Connectors and Cable Assembly segment have increased quarter-over-quarter during fiscal year 2014. Part of that reason of the increase is due to a growing market acceptance of our Passive Intermodulation or PIM products, which were introduced in mid-fiscal 2013. Fiscal 2014 quarter sales at $3.4 million for this segment were up 7% or $211,000 compared to the same period last year. Sales declined 13% in the Medical Cabling segment, due to continued lower orders from our major customers. We are anticipating marketing segment quality products of this - our compatible [inaudible] new businesses in the medical marketing field. We believe that the ability to address changes in cable technology will enable us to supply an increasingly product demand for medical customers. I believe the company’s strong balance sheet and cash equivalents over $14.2 million, working capital of over $21 million and no long-term obligation will better enable RFI to invest in new products for our existing business segments to expand and marketing [inaudible] through acquisition, to supplement our core product lines and through Cables Unlimited market and sales opportunities. We remain confident that the Company’s continued profitability or ability to provide growth and reward our investors with quarterly dividends. I would like to turn over the call to Mark, our CFO and get more detail and discussion on the third quarter results. Mark?
Mark Turfler: Thank you, Howard. Third quarter 2014 net sales of $5.5 million declined $3.9 million, 42% – quarter in fiscal 2013. The decrease is primarily due to a $4 million decline in sales at Cables Unlimited segment as Howard discussed before. Although, the third quarter 2014 sales decline contributed to the reduced consolidated gross profit from $3.9 million to $2.5 million, the company’s gross margin improved to 45% from 42%, primarily due to a change in product mix. Third quarter 2014 selling and general expenses declined when compared to the same prior year period by $335,000 to $1.6 million, due to lower compensation and benefit expense in connection with a decrease in headcount in the current year. Third quarter was $628,000 or 11% of sales compared to the operating profit of $1.7 million or 19% of sales in the same quarter last year. The decline in operating margin is primarily attributable to lower sales and operating profits at the Cables Unlimited segment. The third quarter tax provision was $277,000 or an effective tax rate of 44%, compared to $489,000, an effective tax rate of 28% in the same quarter last year. The change in the effective tax rate was due primarily to changes in the rate resulting from the tax benefit derived from the exercise of incentive stock options by the Company’s employees. Income from continuing operations was $358,000 or $0.05 per diluted shares, compared to $1,277,000 or $0.16 per diluted share for the third quarter of 2013. Income from discontinued operations net of tax was $14,000 for the third quarter fiscal 2014, as compared to a loss from discontinued operations net of tax of $360,000 or $0.04 per diluted share in the same quarter last year, associated with the discontinuance of our RF Wireless segment businesses. Next I will review the company’s third quarter results by business segment. Third quarter sales for the RF connector and cable assembly segments were $3.4 million, a 7% increase over sales of $3.2 million in 2013. Gross profit increased 9% to $1.9 million or 55% sales from $1.7 million or 54% of sales in the same quarter last year. Operating profit was $662,000 compared to an operating profit of $315,000 in the third quarter last year. Third quarter 2014 sales for the Cables Unlimited segment were $1.5 million, down $4 million or 73% on sales of $5.5 million in the same quarter last year. Gross profit declined to $323,000 or 22% of sales, compared to $1.9 million or 35% of sales for the third quarter of fiscal 2013. Operating loss was $199,000, compared to an operating profit of $1.3 million in the same quarter last year. Our medical cabling and inter-connect segment sales were down 13% to $664,000 compared to sales of $766,000 in the third quarter of last year, due to a decreased sales to an existing customer. Due to a slowdown in orders from (indiscernible) the Company anticipates declining revenues in this segment in subsequent quarters. Gross margin improved to 47%, as compared to 42% of sales for the same fiscal period in 2013. Operating profit was slightly down to $166,000 versus $173,000 in the comparable quarter last year. To review the balance sheet, at July 31, 2014, the Company had working capital of $21.2 million, including cash and cash equivalents of over $14 million, a current ratio of approximately 11-to-1, no long-term obligations and stockholders’ equity of almost $26 million. The company has returned $1.7 million of equity capital to its stockholder as cash dividends in fiscal 2014, which represents at the current price of our common stock an approximate 5% dividend yield. As a result, our balance sheet remains strong and allows us to also return capital to our stockholders through stock purchases, repurchases, while also allowing us to consider strategic acquisition. This concludes my discussion of financial results. Howard?
Howard Hill: Thank you, Mark. Our Company is focused on providing a high value state of the art customized connectivity solution to the customers in the wireless industry. Development and acquisition of new businesses is [not a] [ph] steady progression, but is a [concerning] [ph] on our expansion of our product line in markets and the businesses where we can bring a substantial experience and ability to provide outstanding service to new and existing customers. We believe our strong balance sheet enables us to invest in the development on new products and to acquire complementary business, which may supplement the core product line. We are confident that the company can remain profitable and has been over the last 20 years. And I believe that the commitment too also reflects in the regular quarterly cash dividend. This contribution and dedicated efforts of our employee makes all these difference at RFI and we accept that. We also want to thank our shareholders on their support. I’ll now open the floor for questions. Operator, are you ready to take questions.
Operator: Yes, thank you. At this time, we’ll be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of [Joe Gomez with William Smith] [ph]. Please proceed with your question.
Unidentified Analyst: Good morning, guys. Solid quarter given the environment we are operating in. A couple of quick questions. Given the fact that there’s been a significant decline in the OptiFlex sales, any issues with the inventory obsolescence there?
Howard Hill:
Unidentified Analyst: Right.
Howard Hill:
Unidentified Analyst: Okay. And on some of the new products that you’re talking about, I was wondering if you might be able to give us a little bit more color as to when you – the timing of when these new products might be coming to the market and what kind of the end markets, the size of the end markets that some of these new products might be targeting?
Howard Hill: Well, the new products we started in mid-2013 and mainly developing new connectors and so forth for those PIM testing, PIM testing is I guess the easiest way to paraphrase this is that it’s like static, is the intermodulation, and you lose calls and so forth on your cell phones. So it’s a very rigid test and required some new test equipment, new assembly equipment and new inspection equipment. So we’ve added some people actually in this area and we’re just getting busy on it, I mean that’s picking up. The marketplace is mainly in local areas, where they have low - take existing towers and adding more towers.
Unidentified Analyst: Okay. And the acquisitions that you’re talking about, potential acquisitions, again I was wondering if might go provide a little bit more color on where you are in the process of looking at potential acquisitions, what segments would it be the medical cabling, would it be in the Connector, give some more color around the acquisitions?
Howard Hill: Well, definitely fiber optic; fiber optic is the thing of the future in this wireless world right now. Fiber optic did very hard last year, obviously because of our growth in 2013 and we expect more growth out of that. Just because we got ahead of the iPhone boom doesn’t mean that will stop. So we’re definitely looking at more fiber optic. We are definitely looking at more medical because that’s going to be around for a long, long time, I think obviously. And Mark has got some interesting numbers about – we may have had a decline in our medical area, but we had an increase in there with another customer in our medical area. That has really offset tremendously the decline we had. So Mark if you got your numbers handy right there maybe you could talk about the decline in Bioconnect. And then how the second largest customer increased their sales offset that.
Mark Turfler: Yes. I think you pretty much said it all there, Howard, and that is that we had mentioned on this call and in our press release did went out earlier this morning that– and actually last quarter as well, that our Bioconnect – of one particular customer declined significantly, quite frankly that customer made up approximately 50% of Bioconnect’s division sale. So the bad news is that they are down significantly. The good news is that our second largest customer for Bioconnect division has offset, just about offset all, but probably almost $175,000 worth of the decline. So the good news is that the most of the decline has been - a large portion of that’s been mitigated and we’re hoping going forward that we’re able to totally offset that with some other strategies that we have in place.
Unidentified Analyst: Right now, with the number one customer that the business is slowed down there, is that competitive losses or is that the customers just finished doing whatever project they are doing and they don’t need to be buying anymore at this point?
Howard Hill: We don’t really know that many times. So the – everything is done on projections and sometimes projections by our customers are wrong of course, and sometimes we’re wrong even. You only can go out so far with the crystal ball. And one of that is they watch their inventory very close and I think they get too much inventory they just turn off the valve a little bit.
Unidentified Analyst : Right.
Howard Hill: I mean we don’t know that answer. I know where [RoHS] [ph] has taken a little bit slow with our customer and I think they are going to Europe and they have been [inaudible] which a lot of the - the U.S. government doesn’t accept. They don’t feel that [inaudible] is good. So there is a big debate going on about that.
Unidentified Analyst : Okay. And one last one guys, I appreciate it. On the buyback, you announced it this past spring 500,000 shares but you haven’t bought any to-date and given kind of where the stock is today, the cash on the balance sheet does it make sense to maybe be in there supporting the stock somewhat and buying some shares back at these levels?
Howard Hill: Well. You must have been on our Board meeting last week. That was the big discussion last week that are picking the right number. Let’s say I think what we are looking at right now is acquisition and right now I think the best place is to utilize our money there. We don’t really plan on using all of our cash for an acquisition unless there is one of these real super ones, but [inaudible] of course, we have the privilege of more stock there with some of our possible acquisitions. So, right now we have a number set and we haven’t hit that number. We have some cash at a broker. And we are just seeing how far this crazy market goes. And it’s kind of a fluctuating market right now. So you could probably come out with the best news in the world and you go down or you can come out with the worse news go up, you never know,.
Unidentified Analyst : Thanks. I appreciate it.
Howard Hill: All right.
Operator: Thank you. (Operator Instructions) Mr. Hill, there are no further questions. I’d like to turn the floor back to you for any closing and final remarks.
Howard Hill: Well we have [inaudible] before, so thank you so much for the support to stockholders and of course I want to thank our employees for all their dedicated efforts that we’ve gone through this year, it has been a very confusing year for us with the sales being down after such a success last year. And but we weather every storm that we’ve hit and we plan on continuing that. So thank you our employees and thank you our shareholders. Have a good day.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.